Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2015 American Public Education, Inc. Earnings Conference Call. My name is Josh [ph] and I will be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I will now like to turn the conference over to, your host for today, Chris Symanoskie, Vice President of Investor Relations. Please proceed.
Chris Symanoskie: Thank you, operator. Good evening, and welcome to the American Public Education conference call to discuss financial and operating results for the second quarter of 2015. Presentation materials for today's call are available in the Webcast section of our Investor Relations website and are included as an exhibit to our current report on Form 8-K filed earlier today. Please note that statements made in this conference call regarding American Public Education or its subsidiaries that are not historical facts are forward-looking statements based upon current expectations, assumptions, estimates and projections about American Public Education and the industry. These forward-looking statements are subject to risks and uncertainties that could cause actual future results or events to differ materially from such statements. Forward-looking statements can be identified by words such as anticipate, believe, seek, could, estimate, expect, intend, may, should, will and would. These forward-looking statements include, without limitations, statements regarding expected growth, expected registration and enrollments, expected revenues, and expected earnings and plans with respect to recent and future investments and partnerships. Actual results could differ materially from those expressed or implied by these forward-looking statements as a result of various factors, including the risk factors described in the Risk Factors section and elsewhere in the company's annual report on Form 10-K filed with the SEC and the company's other SEC filings. The company undertakes no obligation to update publicly any forward-looking statements for any reason, even if new information becomes available or other events occur in the future. This evening, it's my pleasure to introduce Dr. Wallace Boston, our President and CEO; and Rick Sunderland, our Executive Vice President and Chief Financial Officer. Also available for questions today is Harry Wilkins, Executive Vice President, Chief Development Officer and CEO of Hondros College of Nursing. Now at this time, I'll turn the call over to Dr. Boston.
Wallace Boston: Thank you, Chris. Good evening, everyone. I will begin today's call with a summary of our recent operational results and provide a brief commentary on the progress we’re making with respect to our strategic priorities. Then our CFO, Rick Sunderland, will discuss our financial results and provide perspective on the company’s outlook for the third quarter of 2015. Starting off with slide number 3, as expected, overall net course registrations at APUS decreased 7% year-over-year and net course registrations by new students declined 19% year-over-year in the second quarter of 2015. These results were mainly due to the decline in net course registrations by students using Federal Student Aid and students using military tuition assistance. Net course registrations by new and total students using military tuition assistance decreased year-over-year by 13% and 10%, respectively. We believe the decline is primarily a result of the decline in utilization of military tuition assistance benefits by active duty military professionals. Net course registrations by new and total students using Federal Student Aid decreased year-over-year by 32% and 16%, respectively. We believe this decline is a result of our various efforts to influence our quality mix of students and implement new admissions processes as well as a result of increased competition in the marketplace. Although APUS continued to experience year-over-year declines in net course registrations by students using Federal Student Aid and tuition assistance, net course registrations by new and total students using veterans benefit increased year-over-year by 2% and 7% respectively. We attribute this increase to AMU’s strong reputation among military affiliated communities and increased retention of students using GI [indiscernible] benefits. Net course registrations by students using cash and other sources were approximately flat year-over-year. However, net course registrations by new students using cash and other sources increased by approximately 5%, compared to the prior-year period. I am pleased that our efforts to pursue corporate and strategic partnerships continue to advance with the addition of several new partnerships in the second quarter of 2015. For example, we recently became a strategic level partner of the Defense Acquisition University, an organization that trains more than a 150,000 military and civilian professionals within the defense industry and we became the first school to form an educational partnership with the Federal Managers Association, the oldest and largest association representing the interest of over 200,000 federal government employees. In the second quarter, we continued to focus on key initiatives that we believe will improve the college readiness of our incoming students, further improve persistence and advance the online learning experience. It appears that these initiatives are positively influencing our quality mix of students and increasing persistence as indicated by continued improvement in the first course path and completion rates of undergraduate students and the decline in bad debt expense at APUS. Finally, I am pleased to report that Hondros College of Nursing increased student enrollment by 9% year-over-year with a 5% increase in new student enrollment during the second quarter of 2015. We continue to be pleased with our investment in Hondros as we work hard to improve outcomes, strengthen the brand positioning of the institution, and provide students with greater flexibility through programs offered during evenings and weekends. Moving on to slide number 4, while we continue to face headwinds from competition and our efforts to positively influence our quality mix of students we feel that it’s important to emphasize that the foundations of our success continue to provide us with a competitive advantage namely our value proposition and reputation for quality. Based on the data reported by the Department of Education’s online College Affordability and Transparency Center APUS continues to hold a significant tuition and net price advantage over the average four-year public and private institutions. Furthermore, AMU continues to be recognized as a leading provider of higher learning to the active duty military community. Recently, AMU was again ranked by Military Times Magazine as the number one school serving active duty military. We estimate that AMU maintain its 17% market share in 2014; should be 2015, despite the tremendous amount of change in volatility in the military’s tuition assistance program. AMU also advanced within the veteran community, moving forward two spots to be the number six provider of higher education to veterans according to Military Times. Our leadership is best demonstrated by the success of our students in alumni. Last month, two AMU alumni were recognized with a prestigious Military Times Service Member of the Year award. We are truly honored to have students in alumni that are frequently recognized for their incredible contributions, dedication and service to our country. Moving on to slide number five, over the last several quarters we have invested considerable resources and initiatives designed to better attract students with academic intent, improve the average college readiness of incoming students and increase overall student success. We believe that these efforts are beginning to yield positive results as indicated by the increase in our first course pass and completion rates and by the increase in the average GPA of new APU students. For example, we are excited to see that the first course completion and pass rate for undergraduate students using Federal Student Aid increased approximately 19% in the second quarter of 2015, compared to the same period of 2014. Since August of 2014, we have continued to refine our targeted advertising and expand our pilot programs to improve persistence. In August of 2015 we launched our first courses redesigned with rich media, simulations and other improvements to increase student engagement and increase the appeal of our courses. We continued with the rollout of our new Learning Relationship Management or LRM system called ClearPath to all undergraduates and we recently piled several sabotage learning applications that we expect will increase our predictive analytics and early warning capabilities for at-risk students, as well as further increase student engagement and teaching excellence. Moving on to slide number 6, while we continue to be confronted with many challenges stabilizing enrollment and improving persistence - excuse me are among our top strategic priorities. As a result of our focus on investment in quality initiatives, we now have many more tools and strategies at our disposal to address the major challenges and reach our objectives. We are pleased that the third quarter outlook for net course registrations at APUS indicate net student persistence as improving. As we discussed last quarter, we continue to adjust our marketing outreach by reallocating marketing dollars to more cost-effective channels and utilizing enhanced geographic targeting and analytical capabilities and outreach to prospective students who have a greater potential to succeed. During the first six months of 2015, the number of civilian student leads or enquiries received by APUS increased by approximately 38% compared to the prior-year period. We believe this is due in part to our attractive value proposition, high referral rates, and the effectiveness of our outreach campaigns. Although the average college readiness and academic intent of these prospective students requires further evaluation, we believe the increase in enquiries is a positive result of our outreach efforts. At the same time, we need to put additional human and technological resources in place to improve the conversion of enquiries to applications because applications were down by 16% over the same timeframe. Historically, our application process has been largely automated with prospective students working independently to complete the application. However, civilian students in particular may require higher levels of assistance at this point in the student lifecycle. In closing, we believe the highlights of the second quarter of 2015 are the continued improvement in student persistence, lower bad debt expense, enrollment growth in Hondros College of Nursing and year-over-year growth in our lead flow. Moreover, we believe that our primary strategic competitive advantages continue to be our reputation as a respected leader within military communities and leadership on matters related to affordability and in value. Our long-term strategy is to create a diversified learning enterprise that delivers respected affordable higher education programs through a best-in-class university experience. We have outlined several key initiatives to support our strategic priorities and our long-term goals. I believe we are making good progress. At this time, I will turn the call over to our CFO, Rick Sunderland to discuss our recent financial results and second quarter outlook in greater detail. Rick?
Rick Sunderland: Thank you, Wally. Going onto Slide 7, American Public Education’s second quarter 2015 consolidated financial results include a 6.1% decline in revenue to $80.3 million, compared to $85.5 million in the prior-year period. The decrease in revenue was a result of a year-over-year decrease in net course registrations at APUS, which is partially offset by higher enrolment and tuition in Hondros College of Nursing. In the second quarter, our API segment revenue decreased 7.3% to $72.6 million, compared to $78.3 million in the prior-year period. Hondros segment revenue increased 6.9% to $7.7 million in the second quarter of 2015, compared to $7.2 million in the same period of 2014. On a consolidated basis, costs and expenses decreased 1.3% to $68.7 million, compared to $69.6 million in the prior-year period. The decrease was primarily due to lower instructional costs in our API segment, resulting from lower net course registrations, lower advertising costs, and lower bad debt expense. On a consolidated basis, operating margins decreased to 14.4% in the second quarter of 2015 as compared to 18.6% in the prior-year period. The year-over-year decline in API segment revenue is the primary cause of the decline in consolidated operating margins. For the second quarter, consolidated instructional costs and services expense for ICS as a percent of revenue increased to 37%, compared to 35.3% in the prior-year period. The increase is due to our API segment’s ICS expenses declining at a rate less than a decline in revenue. At APUS, the cost of course materials continued to decline year-over-year to approximately $25 per net course registration in the second quarter of 2015, compared to approximately $28 per net course registration in the second quarter of 2014. Selling and promotional expenses or S&P as a percent of revenue increased to 20.1% of revenue compared to 19.9% in the prior period. Year-over-year S&P cost decreased 4.7% to $16.2 million compared to $17 million in the prior year period. Accordingly, the year-over-year increase as a percent of revenue is due to S&P costs declining at a rate less than the decline in revenue. General and administrative expense or G&A as a percent of revenue increased to 22.6% from 21.6% in the prior period. Our G&A expenses decreased 2.2% to $18.1 million, compared to $18.5 million in the prior period. The decrease in G&A expense was the result of a decrease in bad debt expense, which was partially offset by increased expenses related to financially processing in our API segment, which is largely attributable to the transition of APUS financially processing to a third-party vendor and an increase in G&A expenses at Hondros. For the three months ended June 30, 2015 bad debt expense decreased to $3.9 million or 4.9% of revenue compared to $4.9 million or 5.7% of revenue in the prior year period. We believe the improvement in bad debt expense is a result of a change in our mix of net course registrations away from students using federal student aid, as well as by our ongoing efforts to attract students with greater academic and college readiness on average. During the three months ended June 30, 2015 32% of net course registrations whereby students using primarily federal student aid compared to 35% in the prior year period. For additional information about our operating expense ratios by segment please see the appendix to the PowerPoint presentation that was made available on our website and in an 8-K filed earlier today. Income from operations before interest income and income taxes decreased to $11.6 million compared to $15.8 million in the prior year period. In the second quarter of 2015, net income was $7.1 million or $0.42 per diluted share, compared to $9.8 million or $0.56 per diluted share in the prior year period. Total cash and cash equivalents as of June 30, 2015 were approximately $103.7 million with no long-term debt. For the six months ended June 30, 2015 capital expenditures were approximately $12.8 million, compared to $9.2 million in the prior year period. Approximately $2.1 million of the increase is related to additional investments in software development and approximately $1.1 million is related to our new IT center in Charles Town, West Virginia. After the completion of our new IT center, which is almost ready for occupancy we do not anticipate any major new building projects in the near term. Depreciation and amortization was $9.3 million for the six months ended June 30, 2015 compared to $7.8 million in the same period of 2014, an increase of 19.2%. During the second quarter of 2015, we repurchased 563,820 shares of our common stock under existing repurchase authorizations. On June 12, 2015 the Board of Directors authorized an additional repurchase amount of $15 million. As of June 30, 2015, we had approximately $15.1 million available for stock repurchases. Going on to slide 8. Our outlook for the third quarter of 2015 is as follows. APUS net course registrations by new students in the third quarter of 2015 are expected to decrease between 23% and 19% year-over-year. Total net course registrations are expected to decrease between 8% and 4% year-over-year compared to the prior period. We believe these declines are a result of increased competition for students and to challenges in the military market, as well as the implementation of a new admissions process in a more targeted and narrow geographical approach to marketing that is intended to attract students with greater college readiness. The change in our geographical approach to marketing was initiated in August of 2014, thus in September we are beginning to see the first four months where this more targeted approach was in place in both the current and prior year period. In the third quarter of 2015, total student enrolment at Hondros is forecast to increase by approximately 5% year-over-year. However, new student enrolment is expected to decrease by approximately 6% year-over-year. For the third quarter of 2015, we anticipate consolidated revenue to decrease between 11% and 7% year-over-year compared to the prior year period. In the third quarter of 2015, we anticipate total consolidated earnings per share to be between $0.36 and $0.41 per diluted share. As a reminder, courses at APUS start on the first Monday of each month. Since courses starting this September will begin on the 7 of September compared to September 1 in 2014, there will be six fewer days over which revenue will be recognized in September 2015 as compared to September 2014. We estimate the impact on revenue of this days differential will be approximately $2.7 million in the quarter. As previously announced, effective July 01, we increased undergraduate and graduate tuition approximately 8% for non-military students. At the undergraduate level, this is our first tuition increase since 2000. The tuition increase is applied to all non-TA and non-VA registrations completed after July 01 and therefore the full effect of the increase will not be realized until subsequent quarters as some registrations represent courses for which students registered prior to the tuition increase. As Wally noted earlier, we’ve experienced a year-over-year increase in leads by civilian students. However, we must work to increase the number of interested students who complete applications for enrollment and ultimately complete courses. Moreover while we believe the new admissions process may have adversely impacted our enrollment, it is still too early to fully assess the magnitude of the impact as new process was recently launched in the month of April. Given what appears to be improvement in persistence and the new admissions process recently put in place, we plan to continue adjusting our marketing outreach by reallocating marketing dollars to more cost effective channels and by utilizing our enhanced targeting and analytical capabilities to reach potential students. In closing, we continue to explore ways to optimize our operations and adjust cost. At the same time, we continue to believe that investing in new programs, our information technology infrastructure and our student services during a time of lower revenue makes long term strategic sense. While this may adversely impact our margins and results of operations in the near term, we believe the continued investment will help us emerge as a more competitive and efficient organization over the long term. Our focus remains on the success of our students, the quality and uniqueness of our academic programs and on creating effective and engaging learning experiences that will set us apart from the competition. Now, we’d like to take questions from the audience. Operator, please open the line for questions.
Operator: [Operator Instructions] The first question comes from the line of Corey Greendale with First Analysis. Please proceed.
Corey Greendale: Hi, good afternoon. Thanks for taking my question. First of all, I apologize. I missed the change in new student registrations in the TA market. Can you give me that again?
Wallace Boston: New students in TA were down 13%.
Corey Greendale: Okay. Thank you. And then the next question is talking about the FSA market, if you look broadly across at least the public companies which is what we can see pretty well, obviously times are tough but I would say that for the schools that – I am trying to think about a nice way to put this, for the schools that have a clear kind of lower cost value proposition, those are doing relatively well. It seems like in some sense you are an outlier in terms of the negative 32% on FSA. Can you just address a little bit more? What do you think is driving that specifically for you? And have you sort of left the change in the geographically targeted marketing? Do you think that gets closer to flat?
Wallace Boston: Yes. I think we do, Corey. We talked about this for several quarters that approximately last August we began targeting using demographic and geographical analytics a better student. We looked at the students that, the profile of the students that we had who were successful and passing their first courses and continuing on to graduate and decided that we would rather spend money both through our internet marketing as well as through radio and TV, specifically in markets that had a profile of the student to match that, and not market at all in markets where the results had not been good for us. So it was not a black and white overnight process, we continue to tune that process through the end of 2014 but nonetheless we’ve been working on that process since August a year ago and I think that’s driving most of it. There may be some competition in there and there also maybe the fact that there were some good students, but a small percentage of good students who are in markets that we just seize marketing in. 
Corey Greendale: Yeah. So it sounds like I know you are not getting your guidance beyond Q2, but it sounds like as if anniversaries decline. It just start to get better in Q4, maybe more meaningfully into 2016 as that anniversaries. Is that fair?
Wallace Boston: That’s what we are hoping. We believe that September will be the first full month that will have month-over-month comparatives and obviously we didn’t give guidance specifically for September but that’s our first month and we think we’ll see positive year-over-year comparisons.
Corey Greendale: Okay. And then one of your competitors in talking about the TA market said that, they were seeing specifically in the Navy and Coastguard kind of funds running out and that affecting enrollment in those branches. Is that something you’re seeing and do you expect that maybe TA gets better as the federal fiscal year begins in Q4?
Wallace Boston: I would tell you that as long as the sequester is in place which it still is that I think we’re going to see turmoil and the Department of Defense budgets overall and TA is a component in that. The Coastguard explanation really, the dip there, they change their reimbursement from 100% at rates to 75% of rates and that obviously impacted some people who didn’t want to pay the out of pocket amount. And as far as the navy goes, I would say that the navy has issued several public statement saying that they had money for all their funding. At the same time, they don’t tell what their money is but we haven’t seen any noticeable hiccups with the navy.
Corey Greendale: Okay. And a question on the cost side, it sounds like you expect trends to improve beyond this quarter but I don’t think at least you haven’t announced any sort of larger cost efficiency initiatives, are you looking at doing anything to reduce the cost base given the recent enrollment trends.
Wallace Boston: I think we always are mindful of that and have a pretty good process for managing our cost. At the same time, we did talk in this call about the fact that - we are looking at the fact that we may have to do more handholding and more personal intervention with civilian students than we’re used to where they are much more automated registrations for military to active duty military students. So we will continue to be mindful of it, but if we see a positive return by perhaps some more personal intervention then we will do that.
Corey Greendale: Okay. And just one last quick one from me, then I’ll turn it over. With the price increase going into effect in July, any industrial returns on student or perspective student reaction to that?
Wallace Boston: None. I probably can’t say that zero but very negligible. I think I only heard of one or two. When we announced it, we basically gave everyone information on all the technology expenditures we have done over the past three years and that we anticipate to do for the next two years, and they are seeing some of the benefits of that particularly with our native app that we’ve implemented this past year. Just this past week, we were priced that we hit a record number of page views in a day, I think 200,000.
Rick Sunderland: In one week, it was over 1 million page views.
Wallace Boston: Yes. So we are pleased that that’s being positively received and I think when you haven’t increased your tuition at the undergraduate level for 14 years and people are seeing a positive turnaround with technology investments, it went over okay.
Corey Greendale: Great. Thanks for taking my question.
Operator: The next question comes from the line of Jeff Silber with BMO. Please proceed.
Henry Schein: Hi. Good afternoon. It’s Henry Schein on for Jeff. I just had a question around some of the comments you had around. You mentioned you had an increase in enquiries, I am just wondering what is driving or what are some of the issues that are leading to some of these increase not being converted into starts and are you planning to change your admission process or increase your number of admission personnel or anything of that sort? Thanks.
Wallace Boston: Right now, we don’t believe that the conversion is a people problem. We talked about the fact that beginning last August we really tried to take our data and deliberately go after a much higher student success profile and I think that, that much higher student success profile is a profile that’s very attractive to the non-profit public and private institutions. So at the same time, we just believe that overtime a better student profile will give us better retention as well as better outcomes and ultimately better graduation rate. So we will continue to look at our data, try to improve the ratio of applications from leads generated, but while we’ve increased the number to 38% I think we said our app volume was down 16%. And so we look at this data daily and you just have to refine where you’re targeting and what your message is to the group that you’re trying to attract.
Henry Schein: Got it. And can you talk a little bit about, are you seeing any traction on the corporate partnership front?
Wallace Boston: I think it’s up slightly in the quarter, maybe 5% and so we’re – the messages we’ve been giving on corporations is, we can work the partnerships and we can become a partner, but generally it’s very rare if you get an exclusive and you’re the only partner. And so then you’re competing with hopefully just a handful of other educational partners and different corporations have different messages and different needs for institutions to match up with their employee. So the good news is, it’s up and we continue to pursue it. Hope our cash is flat in most of our corporate revenues in the cash category. I think it’s up a percent year-over-year from 12% to 13% but we announced a couple new partnerships but they take time to implement and take time to expand the number of students.
Henry Schein: Got it. Okay. Alright. Thanks so much.
Operator: [Operator Instructions] The next question comes from the line of Adrienne Colby with Deutsche Bank. Please proceed.
Adrienne Colby: Hi, thanks for taking my question. Second quarter results and third quarter guidance seem to imply some slower growth at Hondros. I was wondering if you could talk a little bit about what’s showing down there.
Wallace Boston: Yes. It’s more seasonal than APUS business because it’s more traditional. The students register in the fall and January being our best terms but the spring and summer did slow somewhat year-over-year. We still have positive growth. Most of the slowness is really in our RN program, our associate degree in nursing. We actually had fairly good growth in our license pack on those program, which is the first program in our stake and BSN program was a little less than anticipated but still overall our BSN program total enrollment is going fine. I can’t explain – it’s a little too soon to explain the change in the RN registrations. It’s a combination of things I’m sure. Part of it is we don’t have evening classes yet for the RN program. The evening classes are proving to be very popular for the LPN program. Part of it is I think the economies of students are entering into the work point. They can get a job as a licensed practical nurse. Perhaps more students are opting to enter the work force more quickly and part of it is that we’ve got a little tougher on admissions for our ADN program because we want to make sure we have – we meet our pass rate results that we need to make for exams for our graduates to get license. So the combination of those things I think is affecting the ADN program a little more than it had last year, and that’s where the majority of the weakness is, but overall we are pleased with the way our enrollment is growing.
Adrienne Colby: And as a follow-up to that, have you - any more details about when the final approval from the department will be coming through?
Wallace Boston: We love to give you an update on that, but unfortunately the department has still not responded to our application for change of ownership. We are still waiting their approval. It’s been since November 01 of 2013. We should get it any day. We’ve contacted them, they’re working on it and that’s all we know right now.
Adrienne Colby: Thank you.
Operator: At this time, there are no further questions in queue.
Wallace Boston: Great. Thank you, operator. That will conclude our call for today. We wish to thank all of today’s callers for participating and for your interest in American Public Education. Thank you and have a great evening.